Operator: Hello and welcome to the webcast entitled WWE First Quarter Earnings. Today's call is being recorded. We have just a few announcements before we begin.  I will now turn the call over to Michael Weitz, SVP, Financial Planning and Investor Relations. Please go ahead Michael.
Michael Weitz: Thank you, Lauren and good afternoon, everyone. Welcome to WWE's First Quarter 2021 Earnings Conference Call. Leading today's discussion are Vince McMahon, WWE's Chairman and CEO; Nick Khan, WWE's President and Chief Revenue Officer; Stephanie McMahon, WWE's Chief Brand Officer; and Kristina Salen, WWE's Chief Financial Officer. Their remarks will be followed by a Q&A session.
Vincent McMahon: Thanks. Thanks for joining us everybody. Like every other form of entertainment or sport, we're coming out of COVID. At first, we were in survival mode, but we found the life. Once we felt secure, we then saw this as an opportunity to rethink the way we do business and open what I call the WWE treasure chest. The only way you're going to do that is that the best management team in WWE history. We have that team. A team that's innovative and it drives revenue and as reorganized our company in far more efficient way to take advantage of new revenue streams, new online platforms, new consumer products, content creation, and new opportunities to expand our media rights portfolio on a global basis. I'm always excited about our business. I don't think I've ever been as excited as I am now.
Nick Khan: Thank you, Vince. This is Nick Khan. First of all, thank you everyone so much for calling in. It's going to be nice to speak with all of you again. Since our last earnings call, there have been significant developments in the media industry. We'd like to discuss them and how the economics of these deals signaled to us a marketplace that continues to put premium on live content. Additionally, we'd like to outline a number of new revenue streams we've identified in the recent corner -- quarter -- excuse me. I will end by providing an update on our expanding original programming slate, as well as giving you an update on our return to live events and touring. Recent developments in media have been highlighted by the completion of new content distribution deals. First, as we discussed last earnings call, Amazon grabbed the Thursday night NFL package, but we have no inside knowledge of this. We wouldn't be shocked if Amazon was negotiating now, as we speak to get that package on its air exclusively early.
Stephanie McMahon: Thank you, Nick. This year's WrestleMania was historic for many reasons, attracting more than 50,000 fans, representing full capacity for the two night event. I would be remiss if I didn't mention how amazing it felt to have the opportunity to stand on stage, look out at the faces in the audience and hear their cheers. From the superstars next to me, to the people in the crowd to even maybe my father Vince McMahon, there wasn't a dry eye as we all celebrated something much bigger than ourselves. The power of belonging.
Kristina Salen: Thank you, Stephanie and hello to WWE shareholders. As Vince, Nick and Stephanie highlighted, transitioning WWE Network to Peacock while launching WrestleMania with a live audience of 50,000 fans in attendance is a major accomplishment. I was odd by the flexibility, speed and sheer brute force of will demonstrated by the WWE team. The innovative and entrepreneurial spirit on display was as strong as I've seen in my 25-plus-years prior in the tech industry. Today, I'll discuss WWE's financial performance, which underscores that spirit. As a reminder, all comparisons are versus the year ago quarter unless I say otherwise. In the first quarter, WWE continued to manage a challenging environment. Total WWE revenue was $263.5 million, a decline of 9% due to the cancellation of live events, including a large-scale international event and the associated loss of merchandise sales, all due to COVID-19. Despite this decline, adjusted OIBDA grew 9% to $83.9 million, reflecting the upfront recognition related to WWE's licensing agreements and a decline in operating expenses that resulted from the absence of live events. To review the first quarter performance in more detail, let's turn to slide three of the presentation, which shows revenue, operating income, and adjusted OIBDA contribution by segments. Looking at the WWE's Media segment, adjusted OIBDA was $107 million, growing 4%, as increased revenue and profit from WWE's licensing agreement with Peacock, as well as increased revenue from the escalation of domestic core content rate fees, more than offset the absence of a large-scale international event. During the quarter, we continue to produce Raw and SmackDown in our state-of-the-art environment, WWE ThunderDome at Tropicana Field and St. Petersburg, Florida. But our operating results continue to be impacted by the year-over-year increase in production costs associated with bringing nearly 1,000 live virtual fans into our show, surrounded by pyrotechnics, laser displays and drone cameras, we did achieve some efficiencies quarter-over-quarter. With the April transition of WWE ThunderDome to Yuengling center in Tampa Bay, we expect this investment will continue through at least the second quarter, as it elevates the level of excitement and brings our fans back into the show. Despite a challenging environment, WWE continues to produce a significant amount of content, nearly 650 hours in the quarter across television streaming and social platforms. And as Nick described, we continue to develop our slate of original programming from our WWE Studio.  Now, let's turn to WWE's Live Events business on slide five of the presentation. Live Events adjusted OIBDA was a loss of $4.3 million due to a 97% decline in live event revenue. These declines were due to the loss of ticket revenue resulting from the cancellation of events. As we said, we are delighted to have entertained ticketed fan and an audience of over 50,000 at WrestleMania A few weeks ago. We look forward to the highly anticipated return of regular ticketed events. However, predicting the pace of that return is challenging. And as of this moment, we do not anticipate staging such events until at least the second half of 2021. Looking at WWE's Consumer Product segment on slide six of the presentation. Adjusted OIBDA was $6.7 million growing 76%, primarily due to higher royalty and profit from the sale of licensed video games, including strong sales for our mobile game portfolio. WWE also continue to introduce new products, leveraging its superstar talent brands and strong distribution partners. As examples of WWE's continuing commitment to product innovation, WWE released three new championship title belts and a suite of branded products to commemorate Stone Cold Steve Austin 25 years with WWE. Also in the quarter WWE continued to be the number one action figure sold at Walmart, we're continued to deliver exclusive products. Now, let's turn to WWE's overall cash generation as shown on slide seven of the presentation. In the first quarter, WWE generated approximately $54 million in free cash flow, which was down slightly. Improved operating performance and lower capital expenditures were  by the timing of collections associated with network revenue. Notably, during the first quarter, we returned approximately $84 million of capital to shareholders, including $75 million in share repurchases and $9 million in dividends paid. To-date, more than 158 million of stock has been repurchased, representing approximately 32% of the authorization under our $500 million repurchase program. As of March 31st, 2021, WWE held approximately $461 million in cash and short-term investments, which reflected the repayment of the remaining $100 million borrowed under WWE's revolving credit facility. Accordingly, WWE estimates debt capacity under the revolving line of credit of $200 million. And finally, a word on WWE's business outlook. Last quarter, WWE issued guidance for 2021 adjusted OIBDA of $270 million to $305 million. This range of guidance reflects estimated revenue growth driven by the impact of the Peacock transaction, the gradual ramp up of ticketed live events and large-scale international events and the escalation of core content rights fees, offset by increased personnel and television production expenses. Company is not changing full year guidance at this time. Guidance range is subject to risk over the remainder of the year, particularly related to the impact of ongoing COVID-19 restrictions on the company's ability to stage live events, including large-scale international events. Turning to WWE's capital expenditures. As we mentioned last quarter, we anticipate increased spending on the company's new headquarters, as we restart this project in the second half of 2021. For 2021, we've estimated total capital expenditures of $65 million to $85 million to begin construction as well as to enhance WWE's technology infrastructure. We're in the process of reevaluating the headquarter project, and we'll provide further guidance on future capital expenditures when that work is completed. For the second quarter of 2021, we estimate adjusted OIBDA will decline as incremental profits from Peacock and the escalation of content rights fees are more than offset by increased production, personnel and other operating costs. As a reminder, the year-over-year rise in television production costs reflects the impact of our investment in WWE ThunderDome relative to the lower cost of producing content from our training facility as we did exclusively in the second quarter of last year. As the timing and rate of returning ticketed audiences to WWE's live events remain subject to uncertainty, we're not reinstating more specific quarterly guidance at this time. In the first quarter, WWE generated solid financial results, as we executed on key strategic objectives. As Vince, Nick and Stephanie mentioned, we believe we can continue to innovate enhancing our fan engagement, driving the value of our content and developing new products and markets, as well as cultivating new partnerships. I look forward to sharing our progress on these initiatives with you all. That concludes our remarks, and I will turn it now back to Michael.
Michael Weitz: Thank you, Kristina. Lauren, please open the lines for questions.
Operator: Thank you.  Our first question comes from Curry Baker with Guggenheim Securities.
Curry Baker: Hey, good afternoon, everyone. Thanks for the questions. My first one is on the sponsorship front for Nick. I think sponsorship scenario where WWE historically under monetized relative to other live sports. First, can you maybe talk about the inventory that's tied into the Peacock deal on the sponsorship side and the strategic upside you see partnering with NBCU team there? And then secondly, more of a higher level, look at sponsorship. Can you maybe size the opportunity you see over the next couple of years and take us through your strategy to more fully monetize that inventory?
Nick Khan: Curry, absolutely. Thanks for the question. I'm going to tag in Stephanie to help answer that question and I'll supplement it if anything needs to be supplemented, if that's okay by you.
Stephanie McMahon: Great. So, Curry, thank you for the question. We absolutely see that the same thing that you see and there's tremendous potential and upside in terms of sponsorship, particularly as it relates to mirroring what has been so successful with the sports leagues, added on to our ability to create this custom content, all of our superstars, who are influencers in and of themselves and the fact that WWE owns all of our intellectual property. So, there's an ease of engaging in doing business with us, that doesn't exist in other leagues or entertainment media.
Nick Khan: The second part of that Curry -- this is Nick. As it relates to the relationship with Peacock, we're going to be selling it with them. So, we're getting all of those ducks in a row. Obviously, launching the product on Peacock was the priority. Now that both sides are happy with that launch, the focus is on further monetizing it. So, we're deep in those conversations now.
Curry Baker: Okay. Thanks. That's helpful. And then maybe just one final one on the ratings front, shifting focus a little bit. There's obviously pressure on the linear ratings for both Raw and SmackDown. Can you maybe talk to us about the lift you expect in the back half, as you returned to a more normal product with fans? We obviously saw a bit of a lift when you moved to the ThunderDome format last year. Is there any way to think about that? And then, I guess, secondarily, is there anything you guys are doing new on the storyline front, or from a talent perspective that you also think might reenergize the fan base and television ratings, as we move through the rest of the year. Thanks.
Nick Khan: We have a four-question limit per person. I'm teasing you. A couple of things. How we've looked at ratings is how we think all the buyers look at ratings. It's the culmination of everything, linear, digital, streaming numbers, et cetera. Our numbers are robust. It's no different than when we referenced the NHL and NFL earlier or on the last call that we all had together. There's a challenge in linear content for everybody. Eyeballs are going away from it. Think about how you watch your own content you're yourself. How often are you watching it on your phone? How often are you watching it on some sort of Apple TV, like device? It's easy. So, we're there when we launched this WWE Network in 2014. Candidly, we saw that. When we did the Peacock deal a few months ago or finalized it, we saw it then as well. As it relates to live events, that always matters to us. The fans are our fourth wall, if you will. We know immediately from them what's working and what's not working. The ThunderDome was a phenomenal creation by the creative team here, but to get live fans back and to get our performers in front of them, we yearn for that as much as our performers do. And we think it's going to have a direct impact on all parts of our business in an overwhelmingly positive way.
Curry Baker: Okay. Thanks for the question.
Nick Khan: Thank you for the 14 questions. Appreciate it.
Operator: Our next question comes from Brandon Ross with LightShed Partners.
Brandon Ross: I think I need to amp up the number of questions I was going to ask to compete with Curry. So, let's see. First, I wanted to get more color on the traction on Peacock, which from the sounds of it appears to be expanding your reach. I think you said record viewership of WrestleMania any way you can size that for us compared to last year on the network.
Nick Khan: Absolutely. Brandon, we know you always come in with 20 to 30 questions, so it's going to be fun. We love it. And we thank you for that. So, a couple things. Our partners at Peacock have asked us not to do that. What we can tell you is that as you guys know in the content business, when you wake up on Monday morning after the two nights, as we did, two phone calls and emails from Peacock and NBCUniversal, it usually means they're thrilled. When you don't hear from them is when there's a problem. So, fortunately, for us, a great number of us here heard from them Sunday night, Monday morning, how thrilled they were with the content and how the content delivered for them. So, we're excited about everything that could happen. And yes, expanding the fan base was one of the key reasons why we did that deal.
Brandon Ross: Awesome. And on NXT, just wanted to ask about the move of nights. Strategically, how did you weigh the pluses and minuses of that move? I guess, it appears that A, WWE is reaching record viewership, probably because of the move was that in the consideration set, do you think about them? Do you care?
Nick Khan: Honestly, we -- everything is competition for everything. So, movies are competition. People sitting in deciding just to text all night is our competition. All we're focused on is attracting eyeballs to our content. So part of the reason for the move to Tuesday night. The last time we were all here, we were specifically asked about, well, what about the NHL and the impact of Wednesdays with the NHL on your content, NXT on Wednesday nights in particular. It's our belief that NBC and the NHL are not going to continue to be in business together. That was our belief months ago. So that has absolutely nothing to do with our decision-making process. If you look at the efficiencies of Sunday night, pay-per-views Monday night raw and Tuesday night NXT, it made sense for us for myriad reasons to do consecutive nights. Obviously, Sunday night is a 15 to 20 time event -- premium event -- excuse me -- premium events type of thing. But those efficiencies to us is what really drove it. We're pleased with the increase in NXT ratings and not focused on anyone other than ourselves.
Brandon Ross: Great. And then, I guess, you gave a little bit of your opinion on where the NHL rights might wind up. Talk about Amazon getting Thursday nights earlier. Can you just broadly give us some color on what you're seeing out there in terms of other suitors in the digital universe beside to Amazon to appetite for sports content? Are there a bunch of players? Is there a real interest outside of Amazon?
Nick Khan: We think Apple TV is reading for something. They come close on a number of live events. They haven't decided to go all in yet. So, we're looking to them, to see what their moves are going to be. It's not just the digital companies. And I know your company yesterday, there was an article about a conference you guys were at, where you said, Hey -- not you specifically, but one of your partners, Hey, look at these big tech companies coming in. Those are the behemoths. We agreed with you to Disney's credit to Comcast credit, but the credit of others, they saw it, maybe a moment in time late, but they saw it. So, we think there are going to be significant competitors for different premium content rights for everybody. And what we know is live matters. And that's what we do.
Brandon Ross: Great. Thank you so much.
Nick Khan: Thank you.
Operator: We will take our next question from Laura Martin with Needham & Company. 
Laura Martin: Hi, there. Can you guys hear me okay?
Nick Khan: Yes.
Laura Martin: Okay. Great. So, maybe sticking to that one and building on that. My -- maybe I have this wrong, but my understanding of the way your rights are currently structured is you can't actually sell anything to anybody, including Apple or Amazon for three or four years. Do I have that wrong? Is there something you guys could actually monetize over the next three year investor Tencent?
Nick Khan: There's so much, and we appreciate asking the question. Number one, it's part of the reason why our focus is so international based right now. In terms of the existing content in the United States, yes. That is licensed through October of 2025 on Raw and SmackDown. In terms of new content, that is not. In terms of licensing that existing content and the WWE Network internationally, that is what we're deeply involved in right now. So, a lot of upside in that. Obviously, it's a good time in our opinion to be a seller of these rights. And we think, the proof will be in the pudding on that in the not too distant future.
Laura Martin: Okay. Very helpful. Thank you. And then Kristina, maybe one for you. You're showing on slide, I can't even see -- two maybe. But the OIBDA grew about 9%. But it feels like because we didn't have the Saturday event and we estimate -- you show the why revenue there. We estimate it's got like 50% to 60% margins really is the underlying operating power of these assets closer to a 23% growth, which mirrored your operating income, because we add back another 12 million for the last Saturday event, which shouldn't really be what I would call a detrimental to the operating cash flow power of these assets. Is that fair?
Kristina Salen: I think, what's really understand in terms of what's driving our adjusted OIBDA growth of 9% is to understand the accounting recognition before the delivery of both content and subscribers in our Peacock deal, that's very high incremental margin revenue. And as we discussed before, that was one time in the quarter. The live event portion, as we discussed, was down. Revenue was down 97% and we booked adjusted OIBDA loss of $4.3 million. So, it's not just the loss of a large international event, but it's the absence of all live events in the quarter that was a downdraft on adjusted OIBDA.
Laura Martin: Perfect. That's super helpful. Thank you, Kristina.
Kristina Salen: You're welcome, Laura.
Laura Martin: That's it.
Kristina Salen: Thanks.
Operator: Our next question comes from Eric Katz with Wolfe Research.
Eric Katz: Hey, good afternoon, everyone. Thank you. I actually like to piggyback a little bit off Laura's question. Maybe focusing more on expenses in the Media segment. I heard some of your comments around the moving pieces for OpEx. So, I was hoping you could maybe unpack that a bit more for Q1 and at Q2, because media costs are down about $15 million year-over-year. And I guess it's tough to reconcile the loss of the international event, adding Peacock. I think you had furloughed workers back and they were investing in ThunderDome. So, I understand you're not quantifying, but is there anything you could maybe share qualitatively to think through the margins or flow through? Because I think the expectation is that on this beat, the full year guidemaybe should have gone up.
Kristina Salen: Thanks, Eric. Yeah. Absolutely. We'll walk you. I'll walk you through that. Again, to understand -- I'll take the last question first. Why didn't we raise our guidance? It's really because any -- the quarter performance was driven by the accounting for the Peacock transaction, the one time accounting for the delivery of subscribers and the delivery of content. Indeed, there was very little licensing fee revenue related to Peacock in the quarter, because we delivered all of this -- all of these assets on marching team. So, the licensing fee revenue in the quarter was really represented the last two weeks or so of March. When we move into second quarter, we'll see us the first full quarter of Peacock licensing fee revenue. And we won't see the one time valuation of our subscription and -- of our subscribers and content delivery. So, that's the Peacock portion of network and media. To understand, the OpEx, you're absolutely right. What we've highlighted is -- in our guidance is that increases in TV production and personnel are an important thing to consider when forecasting 2021 adjusted OIBDA. Now, year-over-year in the first quarter, production expenses, as we discussed TV production on a per episode basis, we discussed last quarter, were up considerably -- 30% year-over-year. What's -- what we're really excited about in the second quarter is while they're up -- sorry -- in the first quarter, while they're up, year-over-year -- quarter-over-quarter, we were able to obtain certain efficiencies really around our virtual fan technology, but also generally around operating expenses. And that's just a testament to us constantly learning, constantly innovating. And as we move into the second quarter of this year, we think, again, quarter-over-quarter per episode TV production costs will be down versus first quarter, but -- and this is a big but Eric, when you think of second quarter of 2021 versus second quarter of 2020, remember for the entirety of last year in the second quarter, we were in our training facility and the per episode cost of our training facility -- and remember that was the height of COVID, the per episode costs in our training facility were remarkably lower than even steady state pre-COVID levels. So, really second quarter is our toughest comparison from a production, TV production expense perspective. Does that help you draw the story throughout these two quarters, Eric?
Eric Katz: Yes. It definitely helps. Okay. And maybe just a follow-up on the touring plans. I guess one thing we're trying to think through is, as you guys begin to tour, I guess maybe in the second half -- hopefully in the second half, would you continue to hold a residency while you sort of phase in touring? Is it sort of going right into a 100%? I guess maybe the decision-making process on -- once you actually start touring, is it full bore or a phase in?
Kristina Salen: We haven't yet decided what our touring plans will be for this summer, but we are very hopeful that we returned to touring in the second half of this year. And our hope is that we go to full touring. Not that we -- that we have -- we retained kind of semi-permanent residency in one location and go half out, so to speak. Our guidance, just so you know, Eric, assumes that we go full touring in the second half of this year, which is what we disclosed when we talked about our guidance back in February. So, going half semi-permanent residency and half touring, wouldn't be the most ideal situation from a financial perspective, but also -- really just from a fan engagement perspective, we're really looking forward to getting out on the road again.
Eric Katz: Okay. Great. Thank you.
Operator: Next question comes from David Karnovsky with JPMorgan.
David Karnovsky: Thank you. Nick, I just wanted to follow-up on your commentary to one of Brandon's questions. With the increased demand coming from streaming for live content, do you see this as sort of a rising tide lifts all boats situation, or will some sports like the NFL or even yourself with Peacock disproportionally benefit from this dynamic? And if that is the case, what factors do you think determine success or not here?
Nick Khan: Thanks, David. I think there's a couple of things. The newer content, I don't want to say the lower tiered content. The newer content, that's not as known as we believe our content to be, or certainly the NFL's to be. There's only so much money to go around. So, somebody's going to be left holding the bag. So, if you look at college football, for example, the SEC is in great shape. The big 10 is the next big rights package up. There's going to be some challenges there, even though it's a major conference, because they didn't perform for part of this season. That always makes it tricky. If you look at all the conferences outside of that, I look for some sort of consolidation school-wise or conference-wise to happen. And you look at the other folks out there, some businesses are unfortunately going to go away. So, the folks who have delivered eyeballs in the past are going to benefit from it. The folks who are trying to prove that they can deliver eyeballs is going to be challenging.
David Karnovsky: Great. That was really helpful color. And then maybe just separate topic. E-commerce has had four really strong quarters since the pandemic started. Just wondering how much you attribute that to a mix shift, but then your merchandise zero versus kind of actions you've taken drive higher online sales. Just want to get a sense for how sustainable some of that strength in WWE shop is?
Kristina Salen: Thanks, Dave. I'll take that question. I think that we've made a lot of effort to really take advantage of the trends and bring customers to WWE shops permanently. The first thing that comes to mind is title belts and the number of -- we launched three new title belts just in this quarter. Similar number last quarter. What also comes to mind is the launch of legends and creating product and merchandise for our fans who are so enthusiastic about historical WWE superstars. So, we haven't just been sitting on our heels and letting this wave come to us. We've been doing a lot to get folks to come and stay.
Nick Khan: I think I could add to that, if that's okay, David. The brick and mortar business, as we all know, has probably changed forever, or at least for the foreseeable future. The e-commerce business is going to continue to grow. One part of the brick and mortar business that we are bullish about is the live event business, where we do sell a lot of our merchandise, which we have not had in over a year. So, if you look at e-commerce, if that stays robust, we believe that it will, and the return to live events where people can buy our product. We're quite bullish on it.
David Karnovsky: Thank you, Nick.
Nick Khan: Thank you.
Operator: Our next question comes from Ben Swinburne with Morgan Stanley.
Benjamin Swinburne: Thanks and congratulations on WrestleMania and executing on that. I'm sure that was a tremendous experience to be at. So, congrats.
Nick Khan: Thank you.
Benjamin Swinburne: I wanted to ask -- I promise, I limit myself to two questions. One, I just wanted to ask Kristina on Peacock, if at this point the -- or in the first quarter, did we see all the revenue recognition associated with the delivery of -- I guess what we would call one time assets? Is that done, or is there more in Q2? And then, I think it was Nick who mentioned NFTs in the prepared remarks. I know this is very early days, but could you just talk about what you think the opportunity is there? How meaningful that might be? And what way you guys are doing to try to maximize that right now? I know it's early.
Kristina Salen: The short answer to your first question Ben, is that yes, it's largely done. We'll recognize some one time content around the delivery of marquis premier shows, like for example, WrestleMania in the second quarter or SummerSlam in the third quarter, but those won't be anything like the size of what we recognized in the first quarter.
Nick Khan: And Ben, I can jump in on the second part of that. First to your precursor statement on WrestleMania, we remain undefeated against the weather for our outdoor stadium, minus a 10 minute delay on night one Saturday this year. But we were happy to do the event in Tampa and to deliver for our partners down there. In terms of the NFTs, look, if you look at what Vince's set up with WWE years ago to own all of the intellectual property, to own the overwhelming majority of the character rights, that business is going to be something that we are in long-term. So, we were excited to get our first one up.  For WrestleMania, I think our silver tier, there were a hundred limited Undertaker cards. Those hundred cards I believe sold out in 35 seconds. So, we want to make sure that we're there for our fans as -- these are the baseball cards of the digital world, as you know. So, we're there. We're going to continue to be there. And we have a plan in place that we're really excited about.
Benjamin Swinburne: Thank you.
Operator: Our next question comes from Vasily Karasyov with Cannonball Research.
Vasily Karasyov: Thank you. Good afternoon. Before the pandemic, you talked about your plans to invest overseas into local content production and training centers, developing local talent, et cetera. So, can I ask you to talk about whether your plans changed, given the terms on which you're in would be international rights contracts, the impact of COVID and what's going on with it? How your strategy is developing domestically in terms of licensing versus WWE Network? And then, if you could talk a little bit about how we will see that flowing through the P&L, your international strategy. Thank you.
Nick Khan: Sure. So, the first part of that Vasily, no, our plans have not changed. They've simply been delayed by COVID. So, even during COVID what we did with our partners, and we discussed this -- the last earnings call, we did a show for our partners, Sony in India, featuring up incoming Indian talent against some of our current superstars. That product, which we called Superstar Spectacular, delivered a 5X rating compared to our normal high ratings in India. Again, based on talent that candidly we don't believe the Indian fans have heard of, and that the American fans have not heard of yet. So, we were thrilled to be able to pull that off. We did that one in Florida. As you know, very, very difficult with international travel right now. Very difficult to go do international bills right now in terms of performance centers. It's all still part of the plan, but like many things just pause by COVID and hopefully we're all out of it soon. Certainly seems like it's heading that way.
Kristina Salen: And to answer the modeling question, I think we're really fortunate in that. We're international without even trying, I personally need that sarcastically. There's so much effort going on around, but it doesn't require a significant amount of CapEx or OpEx to take advantage of the global reach of WWE brands. And indeed, the demand for a global brand like WWE is so strong. We launched the partners. We -- Nick referenced our partner in India. We have partnership in the U.K. And so, we look around the world for those partners to help us deepen our relationship in specific regions and countries, and also help us coinvest smartly in local content, local talent and local opportunities.
Vasily Karasyov: Thank you very much.
Operator: Our next question comes from David Beckel with Berenberg Capital Markets.
David Beckel: Hey, thanks so much for the question. Just wanted to touch back on Peacock and the sponsorship arrangement, acknowledging there's probably some parts of the deal you can't really talk too much about. But I'm curious if you could just fill us in on some of the broad strokes? Does the partnership -- does that pertain mostly to new deals that have not yet been struck? And to what extent across your properties would the partnership apply? And then I have a follow-up.
Stephanie McMahon: Certainly, I'll take that, David. This is Stephanie. So, in terms of sponsorship, working with Peacock, basically anything that you'll see that'll air on Peacock in terms of sponsorship, we are working with them. There is a lot of white space, if you will. As was recognized, I think in the first question around WrestleMania, around all of our major properties, and when you're dealing with teams who have regularly sold the likes of the Olympics and the Super Bowl, you're working with really top notch teams, who will provide us opportunities that we have not had in the past.
David Beckel: Great. Thanks for that color. I appreciate it. And just more of a high level one and actually sort of piggybacking on the last question. A question we get from investors a lot is, is sort of longer term thinking how you approach the investment process. Obviously, there are lots of areas you can invest in and you also have a great degree of certainty on the top line, two-thirds or more of your revenues sort of contracting going forward. So, I'm just curious how you're thinking about the level of investment. Do you think about it as a percentage of revenue, incremental revenue over the coming years, or is it a less structured than that?
Kristina Salen: Well, I think what you can appreciate about our business model, David, is in a normal environment, we are a high incremental margin business, which throws off nice cash flow. And as we -- as we've discussed all of these wonderful innovations just in the quarter, whether it was NFTs, is the deal with DraftKings, the Peacock integration, none of it required any significant amount of OpEx or CapEx on our part. So, we're very -- when we think about new opportunities, it's not about us having to go out and fill that so it can happen. It's about us going out and harvesting what's there, or optimizing what's already there. It's not to say that there aren't opportunities to invest. We've highlighted, for example, that we'll -- this coming year 2021, we'll spend about somewhere between $60 million to $85 million in CapEx largely on a new HQ, which we've been -- we've delayed now more than a year, it'll be two years delayed by the time we move in and ongoing technology infrastructure improvements that you'd expect every couple of years at any innovative company. So, we're really fortunate in our business model, which enables us to maximize the opportunities for the awesome WWE universe.
Michael Weitz: Thanks, Kristina. For our analysts on the line and for Lauren, our operator, we're at the limit of this meeting. We have time for one more question. If we miss anybody, we're happy to follow-up with you offline.
Operator: We'll take our next question from Steven Cahall with Wells Fargo.
Steven Cahall: Thank you. Just a couple. Maybe first, Kristina, on the guidance. Just wondering, did the Peacock delivery you had in the first quarter outperform your full year expectations for Peacock OIBDA, or was this just the timing of how it fell in sort of March versus April? And sort of the same question on NXT. You've historically commented about a lot of AAVs have these long-term, big rights deals in the U.S. So just curious how the AAV of NXT performed or was contracted based on what you're sort of baked into the year for guidance? And then, second question, just -- you made a comment about non-fungible tokens, any idea how much exploration you've done into this. It's certainly a unique asset, as you say, for a public media company, WWE and any stock with crypto gets a heck of a valuation these days. Thanks.
Kristina Salen: Thanks, Steve. I'll take the first part and I'll let Nick take the second part. And hopefully he won't say Bitcoin, Bitcoin bingo. What I would say, thank you so much for the question about timing. And I'll just underscore, you're absolutely right. There is no change with regard to the impact of Peacock in our guidance on a full year basis. We're really pulling forward a little bit of what we thought would hit in second quarter, it's hitting in first quarter, and that is exactly why we are not increasing guidance overall for the year. So, thank you for that question. With regards to NXT, yes, NXT was expected, obviously because the contract was up and it is within our guidance range that we provided. So, there's no -- there's -- we're really pleased with that result. But there's nothing to update with regard to guidance on that front.
Nick Khan: And Steven, on the NFT part of that, I feel like at the start of the pandemic, we were near fights, like I think most others were. And now I would put our level of knowledge as high as I would hope our knowledge in the media space is perceived. We know it. And it doesn't mean there's not a lot of room to continue to learn just like with everything else that we do, but we're confident from where we sit and what we can deliver and what our audience is looking for.
Steven Cahall: Thank you, guys.
Michael Weitz: Thank you everyone for participating in the call today. We appreciate you listening. If you have any questions, please don't hesitate to contact me, Michael Weitz or Michael Guido. Thank you.
Operator: And that does conclude today's conference. We thank you for your participation. You may now disconnect.